Operator: Good evening, ladies and gentlemen. Welcome to the Chunghwa Telecom Conference Call for the Company’s Q3 2011 Operating Results. During the presentation all lines will be in listen-only mode. When the briefing is finished, directions for submitting your questions will be given at the Q&A session. For your information, this conference call is being broadcast live over the Internet. Webcast replay will be available within an hour after the conference is finished. Please visit www.cht.com.tw/ir under the In Focus section. Now, I would like to turn the call over to Fufu Shen, the Director of Investor Relations. Ms. Shen, please begin.
Fu-fu Shen: Fu-fu: Thank you. This is Fu-fu Shen, Investor Relations Director of Chunghwa Telecom. Welcome to our third quarter 2011 results conference call. Joining me on the call today are Dr. Lu, Chairman and CEO, Mr. Chang, President, and Dr. Yeh, CFO. During today’s call, management will discuss business, operational and financial highlights for the quarter. This will be followed by Q&A. Before we continue, please note our Safe Harbor Statement on Slide No. 2. Now I would like to turn the call over to Chairman, Lu.
Shyue-Ching Lu: Thank you, Fu-fu. Hello, everyone. This is Shyue-Ching Lu, Chairman of Chunghwa Telecom. Thank you all for joining our third quarter 2011 earnings results conference call. On Slide No. 3, total consolidated revenue for the third quarter of 2011 amounted to NT$55.7 billion, with the increase mainly from higher fixed line revenue, mobile VAS and handset sales. Higher property sales from our property development subsidiary also contributed to the revenue growth, and we continued to expand our traditional telecom service business during the quarter. Moving on to Slide No. 4, which shows our cash return over the last several years. This year, we have returned NT$19.4 billion via capital reduction and distributed dividends of NT$42.9 billion relating to the year 2010. Going forward, we will remain committed to distributing dividends to shareholders. I will now hand over to Chang for our business overview.
Shaio-Tung Chang: Thank you Dr. Lu. Now let me take you through our business performance. We’ve outlined our business highlights on Slide 6 to give an overview of some key corporate developments. Beginning with our mobile business, smartphones as a percentage of total handsets sold continued to grow, reaching 45% for the third quarter compared to 40% for the first half of the year. Due to a close correlation with the popularity of the smartphone, VAS revenue as percentage of total mobile revenue increased to 21.6% for the third quarter as compared to 15% for the same period of last year. We successfully addressed the market competition by offering limited “Free on-net call” and “My hot line” packages to enhance customer loyalty. In terms of broadband, we reduced our broadband tariff in June, especially for higher speed services such as 20 Mbps and 50 Mbps in order to speed up the migration to fiber solutions and facilitate the take-up of relevant applications. As of now, 50 Mbps subscribers total 365,000. As for our IPTV services, this has proved to be competitive and has performed quite well this year, with subscribers already totaling 980,000. We expect the growth momentum to continue as customers have reacted positively to the enriched Family Package. On the content front, we expect to have 43 HD channels by year-end, making our platform a topnotch one in the Taiwan market. In addition, in response to customer demand for ubiquitous services, we plan to launch our new IPTV platform in December of this year. Via the new platform, customers will be able to enjoy our high quality programs on TVs, computers, tablets, as well as handsets by taking advantage of our cloud computing technology. Slide 7 focuses on our mobile business. We have been maintaining the highest number of subscribers and the lowest churn rate in the market. Although our churn rate increased in the third quarter due to market competition, we managed to lower it by providing limited “Free on-net call” and “My hot line” packages. We are carefully monitoring the competitive landscape and will retain the flexibility to implement appropriate measures to maintain our leadership. On Slide 8, due to the continued popularity of smartphones, mobile internet and mobile data usage continue to increase. At the end of September, there were 1.32 million mobile internet subscribers, compared to 809,000 as of December 2010, evidencing strong growth momentum. We expect to accumulate 1.47 million mobile internet subscribers by year-end. The construction and capacity expansion of base stations are on track. We already have over 2,000 base stations with speeds of 21 Mbps. We believe we continue to maintain the best quality of our mobile service in Taiwan based on our survey of the quality of major networks. In addition, we are continuing to install Wi-Fi APs to offload traffic on mobile networks, and we expect to accumulate 20,000 public Wi-Fi APs by the end of 2011. Slide 9 shows the results for our broadband business. Due to the previously mentioned reduction in our broadband tariff, our broadband ARPU dropped to NT $742 for the third quarter as compared to NT$780 dollars for the second quarter. Although the lower broadband tariff had a temporary impact on our revenue, we believe the speed upgrade will have a positive effect on our promotion of broadband value added services in the long run. Moving onto slide 10, we have seen steady MOD subscriber growth in the third quarter as we continue enriching the Family Package with more premium content. We have achieved over 980,000 MOD subscribers so far, and we expect to reach 1 million in November. In addition, we anticipate that package service subscribers, including for Golden package and Family Packages, will be over 850,000 by the end of 2011. We have made progress on acquiring content. For example, we started offering Next TV news, the first domestic 24-hour HD news channel, on our MOD platform on August 22. In addition, we have acquired new media broadcasting rights for the 2012 Olympics for our MOD, mobile and HiNet platforms. Now, I will hand over to Dr. Yeh for our financial results. Thank you.
Shu Yeh: Thank you, President Chang and good day everyone. Thank you for joining us today. I will review our financial results in detail, beginning with slide 12. This slide shows our income statement on a consolidated basis. Total revenue for the third quarter 2011 was NT$55.7 billion, a 9.5% increase compared to 2010, primarily due to an increase in fixed line revenue resulting from the shift in the pricing rights of a fixed-to-mobile call from mobile operators to fixed network operators. The increase was also due to mobile VAS and handset sales and the revenue recognition of the government integrated taxation information system project. Additionally, higher property sales from our property development subsidiary also contributed to the revenue growth. Operating costs and expenses grew by 14.9% to NT$41.8 billion. Income from operations for the third quarter of 2011 decreased by 3.9% to NT$13.9 billion. Net income for the third quarter 2011 decreased by 0.2% to NT$11.9 billion. EBITDA for the third quarter 2011 decreased by 4.1% to NT$21.9 billion, mainly as a result of the increase in operating costs and expenses. Slide No. 13 shows our revenue for each business segment for the third quarter of 2011. In the domestic fixed line business, local revenues increased by 32.6% year-over-year, mainly due to the shift of pricing right for fixed-to-mobile calls. The 11.4% decline in DLD revenues was due to mobile and VoIP substitution, as well as reflecting the mandated tariff reduction. Broadband access revenue, including ADSL and FTTx, decreased by 2.1% year-over-year, mainly due to our company’s tariff reduction in June as well as the mandated tariff reduction. Mobile revenue increased by 6.6% year-over-year. The rise was mainly due to growth in mobile VAS revenue and handset sales relating to our smartphone promotion, which offset the decline in mobile voice revenue resulting primarily from the fixed-to-mobile calls pricing right shift and the mandated tariff reduction. Internet revenue rose by 0.6%, with the lower growth rate also due to our company tariff reduction in June. International fixed line revenue decreased by 6%, mainly due to the decrease in international long distance service revenue as a result of market competition. Others grew by 94.8%, primarily due to the increase in property sales mentioned previously. Slide No. 14 shows the breakdown of operating costs and expenses. The increase in operating costs and expenses in the third quarter 2011 was mainly due to the increase in cost of handset sold, interconnection costs and transition fees, resulting from the shift in pricing right of fixed-to-mobile calls, and the increase in corporate solution & ICT expenses and maintenance expenses. As shown on Slide No. 15, cash flow from operating activities decreased by 2.3% year-over-year to NT$19 billion during the third quarter 2011. We maintained a strong cash position as of September 30, 2011, with cash and cash equivalents amounting to NT$48.8 billion. Slide 16 shows our results of operations as compared to our guidance. Net income for the third quarter 2011 results was essentially in line with our guidance, while income from operations was slightly below, primarily due to broadband and mobile internet tariff reduction, accrual of the refund for fixed line services affixed to ADSL services, higher cost for maintenance, material and rental expense for high-speed broadband network and mobile base station expansion, as well as personnel expense due to salary raise. We anticipate that the full year operating result will be in line with our guidance. Moving to Slide 17. We will moderately speed up our capital expenditure for the following years. As mentioned earlier, we will focus on fixed and mobile broadband construction to facilitate the migration to even higher speed fiber solutions. That’s all for the presentation. We would now like to open up for questions.
Operator: Thank you ladies and gentlemen. We will now begin our question-and-answer session. (Operator Instructions). Our first question is from Sam Chate (ph) from Credit Suisse. Please go ahead. Sam Chate (ph) – Credit Suisse Hi. Good afternoon. Congratulations on the result. And thank you very much for the opportunity to ask questions. I have two questions mainly on your mobile side. The first question in on smartphones. You mentioned that at least 45% of the handset sold during the quarter was smartphones. Would you mind giving us a little bit of a guidance on how much of that is the high-tier smartphones, like iPhone or the -- things like Samsung Galaxy S and what’s the proportion of the medium-to-lower end smartphones in that? Second question is on the mobile data revenue. And I noticed that for the latest month, mobile data revenue actually declined month-on-month. I understand that that is partly due to your discount for lower usage users. I am not sure whether that is a sustainable trend or what is your view on that. Thank you very much.
Shaio-Tung Chang: About the first question, the high-tier and the middle tier, the ratio is about 78:22.
Sam Chate (ph) – Credit Suisse: 78 high-tier or 78 medium?
Shaio-Tung Chang: Yes 78 is for high-tier and 22 for low-tier.
Sam Chate (ph) – Credit Suisse: Thank you very much.
Shaio-Tung Chang: Your second question about the decline of months-over-months, this is really as you indicated, due to the discount for the lower usage users. And we predict this will be only a short-term impact. In the long term their revenue will grow you know, after we gain more customers.
Sam Chate (ph) – Credit Suisse: Thank you very much.
Operator: Thank you Sam, do you have any follow-up questions?
Sam Chate (ph) – Credit Suisse: That is from me, thank you.
Operator: Thank you. Our next question is from Danny Chu from Nomura. Please go ahead.
Danny Chu – Nomura: Yes, thank you for the presentations. Three quick questions. First is, when I look at the company’s EBITDA, I notice that for the first time this year, the EBITDA of the company actually is reporting like a quarter-on-quarter decline. Should we expect kind of like I mean such a quarter-on-quarter decline of EBITDA continue into the fourth quarter, and your last quarter of this year? That is my first question. Secondly is that when I look at the smartphone ARPU versus the postpaid ARPU, it seems that your industry peers, the other two Taiwan telcos is generating a slightly higher premium from the smartphones versus the postpaid -- normal postpaid ARPU. In your opinion, what are the things that one needs to do in order to kind of further raise the smartphone ARPU? And the final question is, when I looked at the broadband output for the very -- for the latest quarter, is it the decline of the broadband ARPU is entirely due to the tariff cut that you mentioned that initiated by the company to attract customers who migrate to high-speed fiber services, and has nothing to do with competition in the market and consequently getting into the fourth quarter, what should we expect in terms of the trend for the broadband services. Thank you.
Shu Yeh: For the first question about the EBITDA, yes, we expect fourth quarter’s EBITDA probably would continue the trend. Since usually the fourth quarter experiences a higher than earlier quarters, so there -- and also the trend that will be there.
Shaio-Tung Chang: Onto your third question you asked was the broadband ARPU, the major issue is the tariff declines. So according to our expectation until the next year, after our 50 Mbps customer will go up about 600,000 customers, then we are back to the original level.
Danny Chu – Nomura: If I may just kind of clarify on that point, so for fourth quarter this year, we should expect the broadband ARPU to stabilize at around like the NT$740 or we should expect further decline from that level?
Shaio-Tung Chang: Well, it needs to be higher than NT$740, it need to be higher.
Danny Chu – Nomura: Okay. Thank you.
Shaio-Tung Chang: And for the mobile ARPU, as you are comparing different operators’ performance, please -- I would like to remind you that the definition of ARPU may differ from operator to operator, Okay? And for Chunghwa Telecom, we are working on MOD/IPTV services, and especially trying to increase the kind of video service that’s you know, will generate revenue. And the second item is of course, you know, we would like to further improve the quality of our network so that more usage, you know, and more customers would join in our mobile network. Thank you.
Danny Chu – Nomura: Thank you.
Operator: Our next question is from Anand Ramachandran from Barclays Capital. Please go ahead.
Anand Ramachandran – Barclays Capital: Yes hi, my name is Anand Ramachandran calling from Barclays Capital. Thanks for the call. I had three questions. Firstly, I was wondering if you could provide us with some color on the property sales. How should we think about forecasting property, let’s say for the next three to four quarters? If you could give us some color around being able to do that, that would be very useful. Secondly, you talked about launching the new IPTV platform in December 2001 (ph). I was wondering if you could tell us what to expect from that? How you expect that to to differentiate the offering? Thirdly, you spoke about moderately speeding up CapEx in the medium term. I was wondering if you could give us some color around CapEx for this year and maybe CapEx into next year and the year after. Thank you.
Shaio-Tung Chang: First about the property sales. Since most of the revenue came from the finished houses or finished apartments, the sales from them, and it depends on how the market is. So we don’t have a forecast for that. But for the most of our inventory is recognized probably in this year. So not much inventory remains. Thank you.
Anand Ramachandran – Barclays Capital: Okay, if I could just very briefly follow-up on that. So from what you are telling us, all of the revenues this year are property -- I mean actually sale related. So none of it is recurring. So for more sales into next year, we probably need to see if you develop more projects and develop an inventory.
Shaio-Tung Chang: Some of -- most of them, the majority, substantial part of them is sales related. And – but there some is related to percentage of completion. The key points are, since our current land policy is to our operational use. So the sales that we have this year is related to the land we sold to our subsidiary a few years ago. So basically there are no new land sales transaction. So that is the current status. Thank you.
Anand Ramachandran – Barclays Capital: So into next year -- sorry to labor the point, so just into next year, we should not expect this kind of property sales to recur. Or is it too early to say that?
Shaio-Tung Chang: No, since now our property is for company use. So in the near term now, we don’t see this would be a major factor. Thank you.
Anand Ramachandran – Barclays Capital: Well, thank you for that. 
Shyue-Ching Lu: About the new IPTV platform, I think the major difference is that the new platform will integrate all the content -- all the [inaudible] content and the Internet content together, and then all the different devices can access this content, including the TV set, mobile devices, tablet and so on. Thank you.
Shu Yeh: We will have a new user interface, and it will be much easier for our customers to access through the MOD programs or contents. IPTV is going to greatly improve the user experience, you know, this all new IPTV platform. The CapEx, since we are launching in higher speed in fixed line broadband, we currently promote 50 Mbps access speed. And going forward, even higher speed of fixed line broadband access will be offered. So you need to be – to appropriate you know, CapEx for kind of development. And since the country is moving towards digital convergence, the competition in this area might be intensified. So IPTV, you know, appropriating more CapEx for fixed line access with fiber solution is a good thing, very constructive for the company going forward. 
Anand Ramachandran – Barclays Capital: Thank you. So what’s the level of CapEx in dollar terms we should expect this year, next year. Is it pretty much in line what you’ve guided or is it likely to go up?
Shaio-Tung Chang: We will offer you more information when we present our guidance next year, okay?
Anand Ramachandran – Barclays Capital: Okay. Thank you so much for taking time. Thank you for the call.
Operator: Our next question is from Joseph Quinn from Macquarie. Please go ahead.
Joseph Quinn – Macquarie: Thank you for the opportunity to ask the questions. Just wanted to focus a little bit on your MOD and you are talking about the IPTV services. When I look at your Family Packages, for example, on your website, I notice that the monthly charge is about NT$359 per month. But I notice that your ARPU continuously stays down below about NT$130, at the moment NT$133. I am just wondering, in terms of the growth that you are seeing in these IPTV subscribers, is this very much to do with offering a Free Package to users that are upgrading their fiber packages for example? I am just wondering if that’s the case, how long is these free offers provided to them for? Thank you.
Shu Yeh: Joe, the reason why the ARPU is NT$130 is because the revenue, we don’t recognize the whole NT$359 revenue. We split that with the content provider. So NT$130 is the ARPU we keep. Thank you.
Joseph Quinn – Macquarie: Okay, so if I was to work that back out, I should assume that the content providers get NT$240 per user.
Shu Yeh: It’s more complicated.
Joseph Quinn – Macquarie: What I am trying to understand is, when I am looking at your subscriber base, what I wanted to have an idea of is, is there an issue with users getting a free package and when they get charged for the service, is there a risk that they could also sign off, as we have seen this in the past? I am just wondering if there is risk for that to happen again.
Shu Yeh: I think that’s related to our marketing strategy. And we don’t disclose that much of detail. Yes, but that’s current ARPU is what you see there. Thank you.
Joseph Quinn – Macquarie: Okay, thank you.
Operator: Our next question is from Ravi Sarathy from Citigroup. Please go ahead.
Ravi Sarathy – Citigroup: Thank you very much. I have three questions, if I may. The first question is around the IPTV service and the launch that you are expecting at the end of this year via multi-device. Just drilling down to the next layer of detail, when you talk about having you know, the service available via you know, tablets, phones, PCs et cetera, is that via a set of applications that will be on, you know, for example iOS and Android, perhaps a client based or web app on the PC side. You know, how are you accomplishing that? You mentioned a much more straight forward user interface and access process. The second question is around CapEx. And the incremental CapEx you talked about around pushing fiber, you know, or accelerating the fiber, the fiber to the home build or depth. I was wondering if you could give a little bit more color on what you see some of that accelerated CapEx. Is it just accelerating fiber to the home deployments or is it you know, home installation piece to that? You know, where do you see that incremental CapEx coming from? And the next question is around, my final question is around smart mobility. I was wondering if you could update us in terms of the percentage of your total mobile subscribers that are on smartphones today. And the second part of that is, I was wondering if you had any information that you could share with us around the number of tablet users that you added in the third quarter. So I guess including the tablets that you yourselves have distributed, plus of course, distributed via telcos. So you know the micro-SIMs that are clearly for the iPad, I was wondering if you had a feel for the total number of additions that you saw in the third quarter there. Thank you.
Shu Yeh: Since we probably will launch the new IPTV platform toward the end of the year, we will disclose how our customers will make use of the new platform, okay? And the CapEx -- that’s incremental CapEx around for the fiber solution, you know, the total CapEx for the next two to three years probably will be slightly higher than our guidance of 15% of the revenue.
Shaio-Tung Chang: I will give you a figure about the tablet. It’s about 40,000 customers in our network.
Ravi Sarathy – Citigroup: Total. Understood. I do have a feel for the additions that you saw in the third quarter there.
Shaio-Tung Chang: Because the tablet is only -- what we get is only the data revenue. We don’t get the any voice. So I think we will maintain the same level.
Ravi Sarathy – Citigroup: Understood, thank you.
Operator: Our next question is…
Ravi Sarathy – Citigroup: The total percentage of subs on the subscriber base that are represented by smartphones at the moment. If one of you share with us any data there?
Shaio-Tung Chang: About 19% of our customers are smartphone customers.
Ravi Sarathy – Citigroup: Thank you very much.
Operator: Thank you. Our next question is from May Lin from Yuanta. Please go ahead.
May Lin – Yuanta: Hi, this is May Lin from Yuanta Taipei. Thanks for taking my question in the call. I have three questions. First is about domestic long distance revenue decline. You mentioned about competition from VoIP. Can you deliver a bit more about you see the competition to rise after there is more VoIP software available on the smartphone, for the smartphone users? And also we heard about a potential regulation change. I know it’s still under negotiation. But can you share with us if there is any preliminary estimate about the financial impact to Chunghwa? And second question about your smartphone strategy. Previously you mentioned about around like 78% is the higher tier of smartphones. And your competitors continue to talk about launching more mid-to-low end smartphone, which is accommodating to market trend and also help their subsidy front. I don’t know if Chunghwa has any guidance about your – just kind of smartphone mix going to be changed in the future. And lastly about tablets promotion. We -- launch actually limited free on-net call. I am not sure if this will be a long-term or it will sustain for a while. Or you -- and how you see the impact on the financial. Also on the broadband fiber tablets promotion side, do you have any guidance about when we may consider to end this kind of promotion which may better -- will be better to our revenue. Thanks.
Shu Yeh: About the DLD revenue decline, I think the major competition is from the mobile and not from the VoIP. So you know the mobile device is so popular to everybody. So, and we -- about the regulations, we have proposed a new type of plan for the -- one price for local and long distance. But it’s still under approval by the NGC.
Shaio-Tung Chang: The new tariff plan for local and DLD will be disclosed by our regulator upon the approval. So we are not in a position to say anything at this moment.
Shyue-Ching Lu: The promotion of – your question, your third question is on tablet promotion.
May Lin – Yuanta: On mobile free on-net calls, limited free on-net calls.
Shyue-Ching Lu: This free on-net calls is a promotional package. I hope it will not become a regular offer. And I hope we will stop in the future.
Shaio-Tung Chang: For this smartphone strategy, today what I had just mentioned 7% to 8% is high tier is according to our statistics. Actually we are following customer needs, and the production.
May Lin – Yuanta: So may I follow up that? Do you also see the trend as more demand or preference toward a me-too low end tier smartphone? If there is such a happening in the past few quarters?
Shaio-Tung Chang: Yes I think it’s a trend.
May Lin – Yuanta: Okay got it. So it means that Chunghwa remains the possibility to adjust our subsidy strategy based on customers’ preference.
Shaio-Tung Chang: Yes, all subsidies depends on the contribution of the customer.
May Lin – Yuanta: Sure. Sorry, may I follow up also on the CapEx side. If I didn’t remember wrong, our guidance for this year is around like 15% of revenue to be the CapEx number. But so far, accumulated first two quarter numbers, it seems like only NT$16 billion so far -- NT$16 billion to NT$17 billion so far. Is there any chance for us to actually have a lower CapEx number than previous guidance for this year?
Shyue-Ching Lu: The CapEx, you know, the execution of all implementation of our projects is slightly behind the guidance. So maybe up to about 80% of the projected CapEx would be spent this year.
May Lin – Yuanta: Understood. So if it’s about next year, next two years’ CapEx trend, you mentioned about that potential incremental side, well this delay from this year, the CapEx budget delaying to next year to become another incremental or maybe just included inside?
Shyue-Ching Lu: Let me correct the figure I just gave. It’s nearly 85% of the CapEx will be spent this year and for the next two years, the incremental and it’s really dependent on the customer demand of the fiber solutions, but we would like to expedite our deployment of higher speed access through fiber solutions. So maybe you know, as I said we will give more color when we disclose our guidance next year. 
May Lin – Yuanta: Sure. No problem. Thank you very much.
Operator: (Operator Instructions).
Shyue-Ching Lu: Okay if there are no more questions, thank you very much for joining our conference call. Thank you. Good night.